Operator: Good morning. My name is Mandeep, and I will be your conference operator today. At this time, I would like to welcome everyone to Atkore’s Second Quarter Fiscal Year 2023 Earnings Conference Call. All lines will be placed in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Thank you. I would now like to turn the conference over to your host, John Deitzer, Vice President of Treasury and Investor Relations. Thank you. You may begin.
John Deitzer: Thank you, and good morning, everyone. I’m joined today by Bill Waltz, President and CEO as well as David Johnson, Chief Financial Officer. We will take your questions after comments by Bill and David. I would like to remind everyone that during this call, we may make projections or Forward-Looking Statements regarding future events or financial performance of the Company. Such statements involve risks and uncertainties such that actual results may differ materially. Please refer to our SEC filings in today’s press release, which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. In addition, any reference in our discussion today to EBITDA means adjusted EBITDA. Adjusted EBITDA is a non-GAAP measure. Reconciliations of non-GAAP measures and a presentation of the most comparable GAAP measures are available in the appendix to today’s presentation. With that, I will turn it over to Bill.
William Waltz: Thanks John, and good morning, everyone. Starting on Slide 3 and our results in the second quarter. I’m pleased to share our earnings performance, which was slightly better than our expectations and reflects the strength of our business model. At a high level, volume in the quarter was up 4% in line with our expectations for mid-single digit volume growth for the full-year. As expected, pricing contingents to normalize versus the record highs of last year, which drove the year-over-year change. Net sales, adjusted EBITDA, and adjusted EPS all increase sequentially from the first quarter. Overall, the team delivered solid results. Additionally, cash flow has been very strong in the first half of the year, allowing us to continue to execute our capital deployment strategy. During the second quarter, we repurchased $119 million in shares, and we have continued to actively repurchase shares in Q3. While also investing in our conduits of growth, we are encouraged by the positive trends we are seeing so far in 2023, and we have updated our outlook for adjusted EBITDA and adjusted EPS for the fiscal year. I would like to thank all of our employees for everything they do to support our customers. It is because of their tireless efforts that Atkore is able to achieve the results and success that we continue to deliver. Their dedication reinforces my confidence in the future. With that, I will turn the call over to David to talk through the results from the second quarter.
David Johnson: Thank you, Bill, and good morning, everyone. Moving to our consolidated results on Slide 4. In the second quarter, net sales were $896 million, adjusted EBITDA was $276 million and adjusted EPS was $4.87. We expect further normalization of our business in 2023 as compared to last year’s outperformance and are pleased with our margin performance in the quarter with adjusted EBITDA margins of 31%. While this is down year-over-year versus previous record highs is still a very strong and healthy level. Turning to Slide 5 in our consolidated bridges. The overall quarter was in line with our expectations for revenue and slightly favorable for our expectations for earnings. Volume was up 4% with S&I out more than 20%, mainly due to increased mega project activity. PVC volumes were down double digits in Q2 when compared to our strong FY 2022 Q2 outperformance resolving in unfavorable mix for the quarter. Excluding the PVC impact, Atkore’s volume would have been up close to mid-teens with a solid incremental benefit. The year-over-year PVC volume reductions were mainly for utility projects on the west coast and the expected slow-down and residential activity. Contrasting the year over year reductions, PVC volume was out versus pre COVID levels and out 14% sequentially from Q1. Only line to call out on this page is the introduction of an adjusted EPS bridge, which demonstrates the progress we are making toward our goal of greater than $18 per share of adjusted EPS in 2025. On this bridge, we have also isolated the impact of the solar credits related to the Inflation Reduction Act that began in calendar 2023. As we have mentioned previously, the majority of this credit related to the manufacturing of torque tubes will be passed through to our customers. Moving to Slide 6 in our segment results. Margins compressed in our electrical segment with the previously mentioned pricing normalization and lower volumes in our PVC related products however, we saw a solid margin growth on this S&I side. Our S&I business had 15% growth in adjusted EBITDA with adjusted EBITDA margins of over 15% in the quarter. S&I volumes were up 20% in the quarter, led by the increase in demand for our metal framing and solar related products. Additionally, our metal framing, cable management and [Urus Truck] (Ph) construction businesses are well positioned to capture the growth in mega projects both in the U.S. and internationally. Our product line diversification and the resiliency of our business model enable our ability to execute our strategic plan through various market cycles and macroeconomic conditions. Our products are integral to the construction lifecycle across all verticals. They are supported by key mega trends, and we have deep customer relationships, all of which give us confidence in our value proposition as we move into the future. Moving to Slide 7. We are pleased with the strength of our cash flow and balance sheet. In the first six months of fiscal 2023, our cash flow from operating activities was 116% of our net income over the period and up 150% compared to the first half of fiscal 2022. As Bill mentioned, we have been executing our capital deployment plan by investing in our business and repurchasing shares the strength of our cash flow and balance sheet provides a strong foundation for our company. With that, I will turn it back to Bill.
William Waltz: Thanks, David. We are pleased with what we have accomplished in the first half of this year and we are excited about what lies ahead as we execute our three conduits of growth highlighted on Slide 8. Our M&A pipeline remains robust, both in North America and Europe. Atkore is well positioned as a buyer of choice given current market conditions and the strength of our financial profile. Our category expansion initiatives related to solar and HDPE are progressing well and we have expanded our assembly and service capabilities to better support some of these larger projects both in the U.S. and around the world. New product innovation as a percent of net sales reached 9% in the second quarter, and our innovative MC Glide platform continues to be recognized and well received in the marketplace. These three platforms are pillars of our strategy to drive results in the back half of this year and into the future. Moving to our outlook on Slide 9, given the strong performance we have delivered so far in 2023 and the positive trends we are experiencing, we are increasing and narrowing our expectations for adjusted EBITDA and adjusted EPS. I’m incredibly proud of the team, strategy and processes we have in place and I have full confidence in our ability to achieve our goals for the future. With that, we will turn it over to the operator to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Deane Dray from RBC. Your line is open.
Deane Dray: Thank you. Good morning, everyone. I was hoping to get some more color and hopefully some specifics on the pricing dynamic this quarter. This is all part of the normalization process and to be clear, that down 17%, essentially matched our estimates, so no surprises at the kind of headline level. But if you could take us through the components and the inputs, on the pricing dynamic here. So I always look at it in kind of three buckets. So how was market demand and then the second bucket, the supply side capacity at Atkore maybe some color on backlog and then thirdly, what is going on, on the input cost side? The resins and steel and so forth. So if we could start there.
William Waltz: Great question, Dean. Obviously a couple of parts to that. But I will start with as you mentioned, and we did in our pre-prepared remarks, we are basically right on track. If anything slightly better, I think, because again, we exceeded anybody’s expectations for the quarter. We are raising guidance. So compliment to the team across the board. Market demands are good and then like if you look at I think what David mentioned, like even PVC sequentially up 14% and if so I’m just repeating David’s comments, if you go back to pre-COVID where everybody was trying to buy as much as possible during the COVID period, if you go back and look at like our fiscal Q2. There is higher demand what we are selling, for example, in PVC, in any quarter in Atkore’s history going backwards pre-COVID. So overall things are going well. I would say just in case anyone else asks, buyers are buying just what they need almost to the your future questions of supply is coming in, work and show our competitors, by the way shipping pretty much on time and things like that. So there is no need for somebody to do a spring buy and so forth. That actually gives me optimism. In other words, there is no extra supply in the channel, because people are buying as they need it. Therefore, the next quarter and so forth as we give guidance this quarter should be good and I’m optimistic for future years. So market demand overall good, nothing lazy, but totally solid. Supply is good, both us and our suppliers, input costs are kind of all over the place team. And I say that from a standpoint of, if you look at things like steel cost, from a year-over-year perspective, they are down 30%. But if you look like from the first quarter to the second quarter, it is up 20%. And I’m starting to see now this is me projecting steel costs go down again. So it is all in what time period. Same thing with like copper down10% year-over-year, but up 12% quarter from Q1 to Q2. And then PVC has dropped, literally it is down almost the input costs to us down almost 50% year-over-year and 25% just from Q1 to Q2. And I expect that, again, these are market forecasters to continue to go down a little bit. But again, as you know, Deane, and I think most of our shareholders know, the biggest thing that controls our profit is just supply demand in the market. Second thing is Atkore’s ability, which I think we do really well. Shipping on time, co loading all the value we bring. Third thing is the input costs and us keeping up. That is not as big of a factor on how we yield know market price and so forth. So hopefully Deane, I answered all your questions in that.
David Johnson: Yes, the only thing I would add to Bill’s comments is on the S&I side, when you look at these big manufacturing plants, mega projects and whatever we have always said, we have really good content there, metal framing, we have wire baskets on so forth. And you see that, 20% up in volume in S&I add in some solar. We are starting to see the results of all those projects.
Deane Dray: That is really helpful. And just a couple clarifications, so it sounds like lead times are now back to normal and that would also suggest that backlogs have come in and are kind of at normal levels. So if you just clarify those. And then broadly this question comes up a lot and it gets asked regularly, but just how much of the price do you expect to hold onto, because, we hear PVC down 50% of the info cost, but certainly your pricing’s much better than that. So just the question about holding onto price. Thanks.
William Waltz: I will start, and then I think David may rise. Now I would think of pricing in general. You are right, our pricing’s not down 50%, it is down, but we are doing better than expected. I would refer everybody to our best guess still as what we put in the November earnings deck to go, what pricing we think we give back and how that bridge is for the future, how that bridge is to $18 plus EPS. And I would say we are two quarters in to a three year plan, but we are as comfortable today as we were in November when we put the plan together. So everything is really - I’m quite frankly very proud of the team. I’m just trying to look into a very murky crystal ball and call it shot high shot and we are on track, which is the Atkore business team and an amazing set of leaders.
David Johnson: And on the backlog question, Deane, you probably have two different sets. So the flow products are major product categories that we have are backlogs back to, I would say somewhat normal. And remember that is like two weeks. It is like two to three weeks. It is not much backlog. And then when you look at more on the project side where we talked about some of these measurement projects and what have you, and international backlogs are up as you would expect that they would be.
Deane Dray: Great and just a last question over on the cash flow side, which is exceptionally strong. David, you just take us through the dynamics there. What is been the difference maker, and I appreciate that bridge that you gave us as well, but just the conversion on operating cash to free cash flow is much stronger than what you have done seasonally. So just help us with some insight there. Please.
David Johnson: Yes, Deane. It is actually fairly simple and straightforward. Last year we were building, working capital throughout the year and basically now, as your pricing comes down, some receivables will come down. I think our inventories are in really good shape. So at the end of the day, the major delta is in the fact that we have taken out some working capital versus investing in working now.
Deane Dray: Great to hear. Thank you.
William Waltz: Thanks Deane.
Operator: Your next question comes from the line of Chris Dankert from Loop Capital. Your line is open.
Chris Dankert: Hey good morning guys, thanks for taking the question. I guess maybe if we could dig into S&I little bit, you cited the mega projects, maybe you could give us a little more context, just exactly where some of the winds are coming and maybe just kind of expand further how our dolphin some, the other stimulus is also kind of rolling through the P&L or kind of what you expect for the rest of the year there?
William Waltz: Yes, so Chris, I will try to give you as much color without saying specific customers and or it is hard to say the city because then it kind of goes back to as the global project there, but as should come no surprise to anyone, a lot of investment, not just in the United States as David called out in the pre remarks, but across the globe the Middle East Europe in the states, whether it is data centers, chip manufacturing, startup of EV, battery places and so forth and the list goes on. and what we have found compliments to our international team, compliments our, I say our domestic team, but here in the states is the value add of us going in and being able to work directly with the manufacturer. We are still working through distribution and we sell it, but the partnership of things like Urus Truck, the brand that is been around now for a hundred years, well known, consistent across the globe. We are doing things like kiting and so forth where we are bringing all in, setting up a job site and we are winning a lot of jobs there, a lot overseas. So again, middle East Europe and so forth that are growing quite frankly, rapidly and we are putting a full team together in areas like that.
David Johnson: So Chris, like our value proposition with our, use of our construction, our international teams where you can do more of the fabrication or so on so forth with sub assemblies offsite so that you don’t hold up the site itself. I think that value prop is resonating quite a bit with the, the end users.
Chris Dankert: That is a great color. Thank you so much for that. And Dave, if we could just dig in a little bit obviously the M&A has been pretty impressive here. Can you just kind of update us on the status of the integration there and kind of if everything’s on track and what you have been expecting from [indiscernible]?
William Waltz: Yes, so, overall for our HDP acquisitions, which are the ones you mentioned, everything is on track. The team is doing a really good job there of integrating and what I’m saying, integrating, bringing them into our culture, ERP systems over the next year and so forth. But also sharing facilities, in other words, it doesn’t make sense the ship, if we had a facility in Texas and we had a facility in a different state to have one in Texas, ship passed the other one versus let’s move the production around. So really great team coming together, sharing best practices, very optimistic for the future that we will hit or exceed our numbers for our integration models. And as I assume either or David’s explained in previous quarters, obviously, they are pretty synergistic, well above our weighted average cost of capital. So, everything is working along justice planned again.
Chris Dankert: Good to hear. Well thanks again and congrats on the quarter.
William Waltz: Thank you, Chris.
Operator: Your next question comes from the line of Andy Kaplowitz from Citigroup. Your line is open.
Andy Kaplowitz: Good morning, everyone. David, can you give more color into your volume assumptions for the rest of the year, is the deceleration in year-over-year sales in Q3 that you are guiding to versus Q2 oil price are you still thinking mid single-digit volumes for the year overall and have you seen any new incremental signs of destock, as I know you are aware one of your competitors talked about a little bit of distributor destocking to hit their order profile late in their calendar Q1?
William Waltz: Andy, I will start and then obviously David may want to add. Our assumptions are to continue to have mid single-digit growth and volume. Now pricing as we call, for example, on some products, will still go down. So revenue, I look at the last page of the prepared remarks, on what that means for Q3 down 10% to 15%. But that is because of the pricing and a question Dean asked where like deal costs are down dramatically, PVC costs are down dramatically. We are still making good think of this gross margin, but the revenue line down some, volume continue to go up. And I would claim we do not have any destocking. And I would reference that to go 14% up sequentially quarter-over-quarter in PVC. I’m using PVC as an example up to pre-COVID levels. Now what I do see and whatever is, no one is stocking up. There is no one driving to put pre buy, it just because even customers are listening to this call, the revenue is going - the pricing is going down a little bit. So there is no incentive when you know some manufacturer like us can deliver on time to put an extra two or three weeks of inventory in. But that is actually good news, if you look at the way I have glass half full, the future we are going to hit our numbers. We are going to grow low single-digits to mid single-digits in volume and there is no artificial buy up of distributors now, as we go into let’s say even fiscal year 2024. Hopefully that answers the question or if there is a follow-up, Andy.
David Johnson: Yes, Andy. I mean so when you look at PVC for instance, I mean, inventory levels would be lower than they were last year, because last year we had talked about Q2 and Q3 where people had bought, I would say, in addition to what they were seeing because they had multiple orders out there so on and so forth. But we are looking at this more sequentially and seeing what distributors are doing and like Bill had mentioned, that is a positive trend.
William Waltz: Yes. And Andy, one other thing there is - when we are making statements like this, there is lots of backup material and I forgot the precise number that is out there with the association ability of contractors. But within like [point two] (Ph) months, the contractor’s backlog is as strong as it is ever been. I think it is like I said, down from like nine-months to like maybe 8.8 give or take. But basically, there is a lot of indications into a question asked earlier that probably didn’t address or something from Chris is a lot of the stimulus still the states are trying to figure out how to fund it. So again, you look out into future years and say, hey, when this stimulus actually hits that people can spend it ID in the states, there should be additional pickup in volume and so forth. So we are optimistic and that is why the infamous $18 plus EPS is definitely in our targets -delivering that plus now.
Andy Kaplowitz: For sure, that is very helpful. And Maybe just a follow-up to that, like obviously you guys Dodge’s momentum, ABI, things like that. You see DMI, it is coming down a little bit sequentially, but still up 11%in April year-over-year. So maybe if you just sort of parse out for us the market’s overall. I think last quarter you cited data center chip fabrication facilities, driving your results. Are you still seeing that are you seeing any areas that maybe you are a little bit more worried about on the non-res side or just as you said, contractor backlogs are strong, so across the board things are still okay?
William Waltz: Yes. Okay. I will start with the key takeaway, contractor backlogs are strong and we are still optimistic for the future.
David Johnson: I say one other thing too, remember too other manufacturers backlog that we will eventually hook into is at record levels too. And one more and then I will get to the parts and the specifics. Andy, the other thing I hope every shareholder understands is the amount of self-help. Like in other words, to go those three conduits of growth and going our expansion in HTPE, our expansion into global mega projects. There is other things like we have talked about the RDCs and literally becoming the one stop shop instantaneous, those things and other things we are working on, we are just not ready to re-announce give us huge confidence even if down markets that we will drive forward and continue to be successful like we have been for the last half decade and plus. Now, Andy, to your specific thing, I say obviously, but residential markets are down, non-residential, almost all commercial things we are expecting for this year to be down. Industrial is probably like a push, Healthcare continues to be up with investments, and then as you mentioned Andy, the things that don’t get caught once in a while, like in a Dodge Square foot and so forth is utilities and all this infrastructure build. As I mentioned to an earlier question, whether it is chip manufacturers across the globe, whether it is EV charging stations, and battery charging stations and data centers. We are finding those markets and I would assume other people in our space are really strong right now so that is carrying, the business forward here.
David Johnson: Then one last thing. Whenever you look at like Dodge starts, whenever you have a predominance of these mega projects, the starts are still important of course, but then you might have a start, but these projects go on for multiple years. So you do see business for a much longer duration than you would say a start on an office building or something like that.
Andy Kaplowitz: Helpful. And then last question, you mentioned strong growth in solar related products in Q2. Maybe you give us a little more color how solar is contributing to your performance. And we know you have the - of facility coming online in Q3. Is it possible to quantify how much incremental growth your solar business can have in the second half of your fiscal year maybe versus last year or the first half of this year?
William Waltz: David, like I know the numbers, I’m just hesitant. I would say it gives us strong confidence. Well look at S&I for example, now, global makeup projects hit it, but literally S&I shout out to that organization, when they are up 20% year-over-year. Solar will be a good portion of that in global makeup projects. Those two things are what is driving above market growth.
David Johnson: And I think it is probably more of a story of FY 2024 than FY 2023. As you are looking at the factories coming online, obviously that takes some time getting started up and so on and so forth. So I really feel like we will be talking about this in our fourth quarter when we give guidance for FY 2024 a much be a much bigger part of the story.
Andy Kaplowitz: Thanks a lot for the color guys.
William Waltz: Thanks Andy.
David Johnson: Thank you.
Operator: Your next question comes from the line of Chris Moore from CJS Securities. Your line is open.
Chris Moore: Hey good morning guys. Maybe we just talk a little bit more about HDP. I know you said the integration’s going well, but could you maybe talk a little bit more about the market dynamic specifically there and what your expectations are versus I know it is, it is an area where potentially lots of growth. Just kind of maybe get an update there from market perspective.
William Waltz: Yes, so Chris, I will start with short-term like some other markets, I hate to even get into the infamous weather, but there were obviously storms on the West coast and things like that where these are products being put underground. So, average for this quarter, it wasn’t like, oh my god, gangbusters. But all good. Totally on Planed as we go forward for the year. If not, I think there is slight upside work to our business models, and so forth. And then talking to our team and talking to customers, very optimistic for the future. Because this ties back to, and I’m quo number, I think I’m right on, but the - B which has an acronym to it, but for putting it in fiber optics that was like %65 billion allocated. So, that is where, like David mentioned just a moment ago with Solar, it is really a story. I think you are going to see play out in next fiscal year. Not that there is any issue now or hitting numbers, integration going well. Just great people, I mean, half the thing I love with teams is what is the talent we have brought into the family so everything on track. And I would also tell you like as I’m traveling out with customers unsolicited and again, can’t get too specific, I would be with a customer just going, Hey, how’s it going? And they are saying we are on plan. And then they will make a comment as the weather breaks, if they are in North, we are really excited about this future growth in HTP. So like unsolicited, you are hearing comments there from customers to me on the upside opportunity. So long winded story to say everything is totally on track and optimistic for the future.
Chris Moore: Got it and very helpful and maybe just my second one. Recognizing that all things being even distributors, like higher prices commissions presented your revenue is, is what they look for, how much conversation are they having with customers regarding the margin that Atkore makes on its products, especially, PVC conduits do you even hear much on that front?
William Waltz: No, I don’t. Chris, with the following things, in fairness, I haven’t really asked the question, but what I would tell you that we have quantifying the past is if you add up all the products at core sales and you add up all of our competitors and look at a cost of ability, it is low single-digits. So at the end of the day, whether the price of just PVC, conduit, steel, conduit armor, cable is 2x or 1x, it is not going to change the overall cost of ability just by the math alone. It is more about do they still labor is the biggest challenge, the biggest kind of governor of growth in the industry, not the backlog, not the future incentives and therefore obviously making sure our product comes on time as quality is important. And then where we are winning across numerous things is our new innovations that save labor time and that is why you are also seeing Atkore at its highest levels, 9% new product vitality. Who would have thought for an industry like this that you had had this level of new product vitality and that is a compliment to our team working with our customers to come up with new things as safe labor and are safer install. So, long-winded answer Chris, I don’t think there is any concern there.
David Johnson: Yes and Chris, I would also say that our co load strategy through our distribution, whenever you are able to put multiple products on a truck and deliver on time at the right time, that service, the ability for a construction site to utilize that labor on construction as efficiently as possible is much more important than whatever the piece price of whatever part of our products would be.
Chris Moore: Perfect. I will leave it there. Thank you guys.
William Waltz: Thanks Chris.
David Johnson: Thank you, Chris.
Operator: Your final question comes from the line of Alex Rygiel from B. Riley. Your line is open.
Alex Rygiel: Good morning guys. I think you said that the PVC volume was down for utility projects in the West Coast. Was this more trend or was it weather or was it just timing of projects?
William Waltz: Great question. Purely weather, maybe timing behind this scenes that I don’t know about but no, we are really optimistic there is projects cutting loose and for example, where I will mention a customer because this is public, things like PG&E, the California Utility that is committed, I think it is 10,000 miles to put above ground electrical lines of blow ground and that is over the next five, seven years. And each year they are ramping up to kind of triple their current run rate. So all public information. That gives you a feel, Alex. Again, of all these secular trends that are adding up to make us optimistic, as we go forward.
Alex Rygiel: Thank you very much.
William Waltz: Thanks Alex.
Operator: This concludes the question-and-answer session. I would now like to turn the call back over to Bill Waltz for closing remarks.
William Waltz: Before we conclude, let me summarize my three key takeaways from today’s discussion. First, we continue to expect mid single-digit volume growth for the full-year. Second, we are increasing our expectations for full-year earnings based on the strong business momentum so far in 2023 and the robust dynamics supporting our business. Third, we are pleased with the strength of our cash flow and balance sheet. Our solid financial position is the foundation of our future growth and I firmly believe the best is yet to come for our Company. With that, thank you for your support and interest in our Company. And we look forward to speaking with you during our next quarterly call. This concludes the call for today.
Operator: This concludes today’s conference call. You may now disconnect.